Operator: Greetings, and welcome to the U.S. Energy Corporation First Quarter 2024 Results Conference Call. [Operator Instructions]. As a reminder this conference is being recorded. It is now my pleasure to introduce your host, Mason McGuire, Director of Corporate Development. Thank you, sir. You may begin. 
Mason McGuire: Thank you, operator, and good morning, everyone. Welcome to U.S. Energy Corp.'s First Quarter 2024 Results Conference Call. Ryan Smith, our Chief Executive Officer, will provide an overview of our operating results and discuss the company's strategic outlook; our Chief Financial Officer, Mark Zajac will give a more detailed review of our financial results. 
 After the market closed yesterday, U.S. Energy issued a press release summarizing the operating and financial results for the quarter ended March 31, 2024. This press release, together with the accompanying presentation materials are available in the Investor Relations section of our website at www.usnrg.com. 
 Today's discussion may contain forward-looking statements about future business and financial expectations. Actual results may differ significantly from those projected in today's forward-looking statements due to various risks and uncertainties, including the risks described in our periodic reports filed with the Securities and Exchange Commission. Except as required by law, we undertake no obligation to update our forward-looking statements. 
 Further, please note that non-GAAP financial measures may be disclosed during this call. A full reconciliation of GAAP to non-GAAP measurements are available in the latest quarterly earnings release and conference call presentation. 
 With that, I'd like to turn the conference call over to Ryan Smith. 
Ryan Smith: Good morning, everyone, and thank you for joining us today. I'm pleased to share with you our results from this quarter as well as provide an update on our strategic outlook. Our quarter end results reflect the hard work and resiliency of our team. We achieved net daily production of greater than 1,200 barrels of oil equivalent per day, representing the first full quarter since our asset divestitures, which closed at various points during the fourth quarter of 2023. 
 Oil production accounted for 62% of our total production, with the remainder consisting of an approximately even split of natural gas and NGLs. As explained in our release yesterday, our operations were heavily impacted by severe flooding that made national news throughout East Texas and the Gulf Coast during the quarter. 
 Nearly all the affected production was brought back online in late March and while there are no long-term issues expected by the weather, I would expect certain of the same assets, primarily along the Gulf Coast to be impacted in the second quarter by additional heavy rains, which have been experienced recently. 
 The company's other core asset focus areas were unaffected during the quarter and continued to perform to our expectations. I'm particularly proud to highlight our substantial achievements in cost management in the face of adverse weather conditions. 
 Our lease operating expense came in at $3.2 million, representing a flat total expense to the prior quarter and a reduction to the first quarter of 2023. A majority of our LOE is fixed at this point and our barrel metrics are highly sensitive to any variations in production. 
 Our per barrel cost for the first quarter was approximately $29 per BOE, while this per barrel metric amount is higher than we have recently experienced had we averaged our March exit production for the entire quarter also said is once our weather-related production issues were resolved, our per barrel LOE would be in the low $20 range or significantly lower than what we realized. 
 Moving through 2024, our capital will continue to be spent efficiently on supporting the production profile of our existing asset base, continuing the company's share repurchase plan, maintaining balance sheet integrity and taking advantage of organically generated M&A opportunities. 
 While equity valuations and borrowing costs have made small-scale M&A tough recently, allocating capital to oil-weighted projects and the company's existing portfolio remains highly economic. We've had these assets under control for about two years now and with the first year plus just really figuring out what we have from an asset optimization standpoint,  since then, we've been able to really explore and engineer opportunities that we believe can add value in a much more capital accretive way than any upstream M&A that I see in the market. 
 These are projects that we are always currently evaluating, and we will share more as they come to fruition as we move throughout the year. We believe that U.S. Energy Corp. stands out from other oil and gas producing companies of our size and this backdrop of both current macro industry dynamics and a relatively stable oil pricing outlook. 
 Our current assets require minimal capital to maintain a steady production profile, leading to predictable cash flow and allowing us to effectively allocate dollars to maximize our returns on capital. 
 Our approach positions and allows us to weather market fluctuations and capitalize on opportunities, making us well prepared to navigate the always evolving energy landscape. Our focus at U.S. Energy remains on operational efficiency, balance sheet discipline and responsible resource management, underscoring our commitment to driving sustainable value creation. 
 As we move forward, we remain dedicated to capitalizing on current market conditions and leveraging our strengths to deliver continued growth and shareholder returns. To that end, during the first quarter, we extended our previously announced $5 million share repurchase program through June of 2025. 
 We continued our share repurchase activity during the first quarter and since restarting our repurchase activity in late December of 2023 and through the first quarter, we've repurchased more than 0.5 million shares or greater than 2% of the company's outstanding shares. 
 We continue to believe that repurchasing our equity at current valuation levels is prudent and one of, if not the best, allocations of free cash flow along with as high of a return opportunity as we see in the marketplace. I expect to continue this activity going forward. 
 In summary, the first quarter was strong in terms of operational resiliency the highly adverse weather, cost controls and the results of capital allocation decisions made earlier in the year. These achievements set the stage for our growth initiatives while positioning us to take advantage of oil prices that help generate steady, high-margin cash flow. 
 The company's goal remains to continue expanding our scale through both being selectively advantageous in the M&A market, while also growing our assets with initiatives that complement our core operating areas. By increasing our scale and maintaining our shareholder returns initiatives, we believe we can unlock greater equity value for all of our shareholders. 
 Now I would like to introduce Mark Zajac, our Chief Financial Officer, who will provide a detailed update on the financial results for the first quarter. 
Mark Zajac: Thank you, Ryan. Hello, everyone. Let's delve into the financial details for the first quarter of 2024. Total oil and gas sales for the quarter amounted to approximately $5.4 million reflecting a decrease from $8.3 million in the same period last year. This decline was attributed to a 29% reduction in volumes and an 8% reduction in realized prices. 
 It is important to note that this quarter's production was significantly impacted by the nonoperated divestments made during the fourth quarter of 2023 and severe weather events in several of our key operating areas. Sales from oil production contributed 88% of our total revenues for the quarter, demonstrating our continued focus on optimizing our oil assets. 
 Our lease operating expense for the first quarter was approximately $3.2 million equivalent to $29.02 per BOE, indicating an impressive 28% reduction in total lease operating expense compared to the first quarter of 2023. This reduction can be attributed to fewer onetime workovers in our continued effort to increase operating efficiency. Severance and ad valorem taxes for the first quarter of 2024 totaled approximately $300,000, reflecting a decline from $500,000 in the same period last year. 
 As a percentage of total oil and natural gas sales revenue, these taxes accounted for approximately 6% during the quarter. Cash, general and administrative expense was $2 million for the first quarter of 2024. This expense is flat when compared to the same period of 2023. The first quarter traditionally includes some lumpy annual cash G&A expenses that have a greater impact on our cash balance, but smooth out throughout the rest of the year. 
 Turning to our net financial performance. The company reported a net loss of $9.5 million in the first quarter of 2024. The first quarter loss is largely attributable to an oil and gas impairment expense of $5.4 million driven by the impact of lower SEC pricing on the company's reserve report and wells temporarily shut in for the quarter. 
 Workovers are currently ongoing to bring some of these properties back to production. We are currently not projecting an impairment for the second quarter of 2024. Our adjusted EBITDA stood at $0.2 million for the first quarter of 2024 compared to $1.2 million in the same period last year, influenced most notably by the decline in commodity prices and production from the prior period. 
 Let's briefly touch upon the balance sheet. As of March 31, 2024, the company held outstanding debt of $5 million on our $20 million revolving credit facility. Our cash position stood at $2 million and we plan to continue allocating a portion of free cash flow to debt reduction and maintain the flexibility to react to market conditions on that front. 
 In conclusion, we are pleased with our operating performance and financial results that are able to support the company's initiatives in a way that maintain full balance sheet integrity. I am leading the charge to ensure that the company's reporting process maintains a high standard of excellence, and we feel confident in our ability to support any growth initiatives we may entertain going forward. Thank you for your participation this morning. We are now ready to take your questions. 
Operator: [Operator Instructions] Our first question comes from the line of Charles Meade with Johnson Rice. 
Charles Meade: Good morning, Ryan, to you in the whole U.S. energy team there. I wanted to ask you to elaborate a little bit more on the weather impact in 1Q, but more specifically how it's going to carry into or not carry into 2Q. It seems like when I was reading the release last night, it was like much or most of the production would come back. 
 Listening this morning, it seems you're closer to all. So I guess what I'm asking, in my imagination, I think if you guys you could have some bad floods, wash out a lease road or something like that and you look at it and you're like, "Well, it's going to cost us $0.5 million to build that road back, and we only have a value of 200 on that well. 
 And so maybe that well doesn't come back. But I wonder if you could just kind of talk about if there's any assets that you're going to kind of permanently lose. And then what kind of magnitude we should be thinking about for -- I think you mentioned the Gulf Coast, there's some flooding impacts in 2Q as well. 
Ryan Smith: Yes. No, great question. So there's a few parts to that. And it was really kind of 2 weather effects that we should discuss. I think it was early January. It might be mid-January, but East Texas and the Gulf Coast experienced extremely, extremely heavy rains. I mean, national emergency declared level of activity. 
 And that affected our kind of, I guess, more Northern East Texas assets a bit, but it really affected our Gulf Coast and our Liberty County assets quite a bit. The good news is that long term, we don't expect to see any effects from it. But the early in the quarter flooding was very significant. 
 A lot of our assets in Liberty County are very close to the Trinity River. And for those in the Gulf Coast area, that river has been overflowing nonstop for quite a bit of time now. Very good comment on lease roads. If you took an aerial view of the flood, the water [ resents ] pretty quickly. But we definitely had our main lease road washed away. And it's not catastrophic to our operations because it's pretty cheap and it's pretty easy to put some stuff around it, but it does stop everything. 
 I mean safety is the #1 concern with the lease road washing away like that and flooding. I mean you're looking at loss of life if you start sending people out there. So it automatically gets shut down. The vast majority of that production started getting brought back online in, I'll call it, mid to late March. 
 And then over the last month in April, unfortunately, the same area received even more rains, a couple of feet of rain over the course of a [ loop ] a double dip, right? So the same thing happened. It wasn't as much on our Northern East Texas. It was more specifically Gulf Coast, so that will bring that number down from what is shut in. 
 I think it's a fair -- it will be a shorter period of time. So I think we're still assessing half to maybe 1/3 of the production that was affected in the first quarter being affected in the second quarter, but we don't expect any long-term issues from productivity or integrity of the wells or any type of environmental issues from the weather. 
Charles Meade: So if I understand you right, Ryan, it's -- the duration is still a little bit in question, but whether the assets will come back is not. 
Ryan Smith: Correct. 
Charles Meade: And then one follow-up question. I want to make sure I heard this right in your prepared comments, I was taking notes. I think you said that you're looking at a number of projects that are more attractive than traditional upstream M&A opportunities. Did I hear that right? And is there anything you want to add to that? 
Ryan Smith: Yes. I mean, again, everything is relative to the U.S. Energy platform. So a lot of the -- I would say, the small-cap-focused type of asset sales, whether that's M&A or usually more of an asset acquisition level in our core areas at the size of deals that we look at, right? Like a lot of those have to be evaluated for ARO environmental concerns, a lot more goes into it now. I know you know this than it did in the past. So whenever we see packages, a lot of these packages I mean commodity prices being strong have helped. 
 But a lot of them once you bake in the mandatory P&A and the mandatory ARO assumptions, a lot of these assets are really liabilities. And even the ones that aren't. Again, I'm not talking about the cream of the crop Delaware Basin, Midland Basin type of assets. But everywhere else carries a pretty big P&A ARO liability. 
 So as we look at adding incremental barrels, if you will, in this market, we don't see at least, very rarely do we see opportunities that are lower risk, easier achievable and higher rates of return than what we already have in our existing portfolio, right? 
 The challenge there is we have a very large asset base that ranges from almost Canada to the southern border. And it's finding the right candidates to go in and spend the resources, spend the work. I think you've seen in a lot of these unconventional basins, again, across the [ Lower 48 ], a lot of recompletion refrac work go on. That's what we're looking at. A lot of our East Texas and Mid-Con stuff, we think that there are multiple at a minimum candidates that we have in the portfolio that could reasonably be looked at as high-value refrac candidates. 
 We executed on one on our East Texas property in the fourth quarter. It's early, so we don't have announceable results yet, but we're encouraged by the results that we've seen so far, and we're going to do more. So as you think about U.S. energy, we're always looking for the larger projects, always looking for initiatives that we'll be able to take and we'll be able to scale. 
 But in between those things, bringing on barrels from our existing portfolio is extremely attractive in the interim. 
Charles Meade: Got it. That is a helpful elaboration, it kind of gives me a better sense of what you're meaning. 
Operator: The next question comes from the line of Tim Moore with EF Hutton. 
Timothy Moore: Ryan, I'm just kind of curious, have you given any thoughts or maybe a rough estimate of what you think the BOE net production daily average exit rate could be or maybe what it could get to this year beyond the 1,200? 
Ryan Smith: I mean, I guess, very smart way of asking what I think some recompletion activity will do. I think if you look at our PDP curve, again, the assets that make up the vast majority of our asset base, our assets that we acquired in 2022, and most of those are conventional. So we don't have, I'll call it, super steep declines that most people experience. 
 We lost some barrels in the first quarter because of weather. It won't be as big of a number, but we'll lose a little bit of barrels in the second quarter, adding those barrels back and then taking into consideration what we sold on our non-op divestitures. That brings it around to a, call it, a 1,400 BOE per day number. 
 I'm assuming you mean exit at the end of the year, if we have 8% to 10% declines on numbers like that, I think 1,400, 1,300 is kind of a range that is it unreasonable from our existing PDP curve and I think there's upside to that number just from the organic activity. 
 We've kind of started undertaking, but I think we'll more earnestly start undertaking it as we move through the year, assuming oil prices stay strong, of which we're pretty comfortably hedged at the moment. 
Timothy Moore: My next question is, I'm kind of curious, where are you spending kind of incremental CapEx? You mentioned you have some refrac candidates. Just kind of curious as you look out the rest of this year, what properties or areas do you think the CapEx is going to? 
Ryan Smith: Yes. No, great question. And we look at this as I guess if you go back and you look at our numbers for the first quarter, we had a very low capital spend, and that was by design. And part of my job and Mark's job is really identifying the high-cost production that we have and the low-cost production we have, and that sounds simple, but we have a lot of wells. 
 So we're constantly looking at where those dollars need to go. And if it makes economic sense to have save $1, yet have a barrel of production that go online. And in a lot of scenarios, just high-cost production, that makes sense. So we're being super disciplined on where we deploy our capital and these projects are really going to have to fight to get that capital deployed to it. 
 So where do I see it now? The first refrac candidate we did was in East Texas. So obviously, that's probably an area that we feel pretty confident about to continue to put more capital. We like our assets in Montana a lot, very steady, very low decline oil and we have some projects out there we can do. 
 Our Mid-Con no secret, gas-heavy or gassier than our other assets with gas prices coming back from the lowest at the lower they've been for the last couple of months, it really opens up opportunities for us up there. So kind of a generic answer on our key areas or where you're going to see us spend most of our capital, but that is where you'll see us spend most of our discretionary capital. And again, it's already begun on our East Texas assets. 
Timothy Moore: That's helpful, pinpointing. I'm just kind of curious, the workovers drag. What do you think as you look at this June quarter and maybe even in the September quarter,  is the workover drag this quarter or next quarter, do you think that the timing is going to be more of a drag than last year was? Or how is it kind of stack up against last year for you guys? 
Ryan Smith: Yes. I mean I think it's going to be in terms of like, in terms of timing, if you mean on a calendar year, I don't see us having any issues on like when we want to go do activity. Some of the work -- again, this is just the boring day-to-day business aspect of the company. But like some of the workover activity we would have done was delayed by weather on this same area. 
 You'll see an incremental pickup in production at some point in time. I don't know if that extra workover activity is going to be in late June, if it's going to be in early August yet. We're still kind of working through all that. So from a timing standpoint, or availability of crews or anything like that, I don't see any issue of this year versus last year on us being able to accomplish that. We were always doing workover activity. It's one of our biggest line items. 
 So it's something we stay on top of. So yes, I don't see it being any issue on a calendar or a timing basis for us in 2024. 
Timothy Moore: Great. And my last question, Ryan, is I have to bring this up. I noticed an increase in the insider ownership. There was a big purchase last month by the Chairman's family office [indiscernible]. I think that office probably owned, I don't know, 29% of shares may be. Anything you can share on that, any commentary or any thoughts on that? And is there anything tied into that for like the strategic alternatives? 
Ryan Smith: Yes, good question. So yes, our largest shareholder acquired a significant amount of shares during the quarter. I believe that he owns about 1/3 of the outstanding common stock now. I'll give you the answer that it's a sign of support in the company. Is it part of the strategic alternatives process. Everything we do is right, like this isn't a desperate strategic alternative process. 
 It's up into the right process where we're really trying to find something and unlock value. So I definitely am much happier that he bought an extra 12% and didn't sell 12%. But in all seriousness, I think it's a very good sign of support for somebody that's already very much in the equity bucket to get even deeper into that. 
 And the strategic alternatives process, I know those are very black boxy. It's something that we're always working on, something that we're always evaluating. Everything that we've done, whether it be high-grading our asset base through asset sales that we've undertaken or explore in the future. Every M&A initiative we take, et cetera, all the way down the line to our shareholder roster kind of goes into that strategic alternatives process. 
 So I don't think that if it was something extremely direct, it would be something that he had to file and report, which wasn't done outside of a 13D. So there will be nothing there from that angle. But it does encourage me as a sign of support to have insiders deploying significant capital and acquiring more shares. 
Timothy Moore: That's helpful to hear, and I'll catch you at our annual conference next week in New York. 
Operator: We have reached the end of the question-and-answer session. I would now like to turn the floor back over to management for closing comments. 
Ryan Smith: Yes. Thank you, everybody, for joining us this morning. We appreciate your time and listening to what we're doing here about U.S. Energy. We're very excited about the future. We have a lot of opportunities in front of us  and we feel good about our position in the market to be able to exploit those opportunities. Thank you, and I look forward to updating you on our next quarter's call. 
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.